Operator: Good afternoon, ladies and gentlemen, and welcome to the Resources Connection, Inc. Later, we will conduct a question and answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. At this time, I would like to remind everyone that management will be commenting on results for the third quarter ended February 22, 2025. They will also refer to certain non-GAAP financial measures. An explanation and reconciliation of these measures to the most comparable GAAP financial measures are included in the press release issued today. Today's press release can be viewed in the Investors Relations section of RGP's website and filed today with the SEC. Also, during this call, management may make forward-looking statements regarding plans, initiatives, and strategies and the anticipated financial performance of the company. Such statements are predictions and actual results, events, or results may differ materially. Please see the risk factors section in RGP's report on Form 10-K for the year ended May 25, 2024, for a discussion of risks, uncertainties, and other factors that may cause the company's business results of operation, and financial condition to differ materially from what is expressed or implied by forward-looking statements made during this call. I'll now turn the call over to RGP CEO, Kate Duchene.
Kate Duchene: Thank you, operator. Thank you all for joining us today. In Q3, our results were in line or better than expected. Our total revenue was $129.4 million, consistent with client budget constraints and slower project ramp-ups. Our gross margin and SG&A both beat the favorable end of our outlook ranges. Post-election, the operating environment has remained sluggish at calendar year given increased uncertainty and decreased consumer confidence in the United States. The news is not all about uncertainty, however. We saw strengthening across our practices in Europe, Japan, and the Philippines in Q3. Europe improved with several key performance indicators including bill rate increases, sizable pipeline expansion, and the return of $1 million-plus project pursuits. Our consulting segment also achieved material double-digit bill rate improvement in Q3. The size of enterprise-wide engagements increased on average by more than 20% and we improved our win ratio. We doubled the number of $1 million-plus engagements we won this quarter over a year ago, and our pipeline of opportunities at the $5 million-plus level has grown significantly, reflecting a quality improvement in the pipeline over last year. We did not see this size and scope of opportunity a year ago. These indicators show we are moving in the right direction but we need to increase volume as we execute our diversified services strategy. In this environment, many clients are moving work to the international stage, and we are strategically located to support them. Here too, we are focused on increasing scale in our key markets in Southeast Asia and India. Our outsourced services business, Kelsey, delivered solid results in the third quarter, and our overall client retention in our top 100 accounts remains solid. During this relatively slower stretch for our industry, we have accelerated RGP's evolution by focusing on three key initiatives that position us for market share expansion. First, we have enhanced client offerings. We built a diversified services platform to meet clients where they need us. Whether they require both strategy and execution support or they need our execution specialists working with in-house teams, we deliver both with excellence. Our flexible engagement models are proving an important competitive differentiator as clients seek agility, price to value, and blended delivery teams. It used to be that the traditional consulting firm owned domain expertise and would deploy an army of consultants using their leverage model. Times have changed, and we believe in RGP's favor. Clients now know and own their strategy and need high-quality, flexible, value-based execution support, a niche that RGP created and which we uniquely provide. We have also focused our services catalog across our diverse site offerings in areas where the market has the highest demand. Utilizing our core CFO relationships to expand into new client centers like the Chief Technology Officer, Chief HR Officer, Chief Procurement Officer, and senior supply chain leaders. Our four pillars of service capability are CFO services, digital technology and data, and strategy and operational performance. Most of the services are currently delivered to the office of the CFO, across these pillars, but the natural extensions are at risk and compliance technology modernization, supply chain optimization, and employee experience. We are leveraging the strategy of CFO plus one, to enhance growth and client value creation. As Bhadresh Patel will share, we have experienced positive momentum with cloud migrations for SAP and Oracle finance transformation, as well as ServiceNow optimization to improve user experience around automation of process workflows in IT, HR, and risk and compliance. While industry-wide, M&A and IPO readiness initiatives have been slow to pick up this calendar year, we have the right capability to jump in and respond quickly when this event cycle turns. For example, the reference point acquisition allows us to accelerate and broaden what we can do for clients around M&A integration, operating model assessments and design, data architecture and governance, and application modernization to help clients optimize enterprise performance and enable the adoption of AI. We have worked diligently to ensure we have sales readiness and delivery skills to capitalize as the business environment improves, client budgets strengthen, and decision-making accelerates. Last week, we closed a significant project in finance optimization by combining skills and building a delivery team of management consulting and agile execution specialists who know the client's industry. Second, we have improved operational efficiency. We have lowered our cost structure, and you can see the progress we have made. We are driving cost savings with optimized headcount, reduced real estate spend, and lower discretionary spending. We have lowered our run rate SG&A by 8% since the first fiscal quarter and will continue to drive efficiency across the enterprise through technology, AI, and automation. Jenn Ryu will offer additional commentary on our successful efforts around operating efficiency. Third, we made targeted investments to enhance value creation over the long term. We have made most of the investment needed to replace our technology and infrastructure for the North America business. These enhancements allow us to implement AI and automation to our advantage in both client service and talent recruitment and management. This modern technology will allow us to streamline processes and accelerate opportunities through our pipeline. We have also enhanced our sales and delivery teams to ensure we have the right approach for both consulting and on-demand solutioning when the buying environment improves. We are proud of the sales team we have and the relationships they nurture and our exceptional client base, and we are adding a new archetype to the team to drive growth. We had some go-to-market team attrition in Q3, much of it planned, which allows us to accelerate certain enhancements. Specifically, we have added consultative sales expertise especially in the digital and technology areas and strategy and operations to support growth. For example, a new joiner in our New York practice was a senior finance executive at a top ten financial services firm who was a key buyer of CFO services across the professional services continuum. Another recent senior hire in our New York office brings solution sales experience from a top-tier digital consultancy. According to Kennedy research, the two highest growth opportunities for consulting in the next three years will be strategy and operations and digital transformation. Benefiting from our inherent competitive advantages including strength of CFO relationships, diversified engagement models, agility, price to value, and cross-border collaboration. We are improving our positioning to earn this work as clients increasingly seek value in seamless global delivery areas in which we excel. Finally, I want to highlight the progress we have made this fiscal year in building more delivery capability in India. Our global delivery centers there are supporting work for the CFO's office across risk and compliance, finance and accounting, and digital development services. This work creates greater stickiness as evidenced by our solid client retention rate and we are focused on building volume across our Fortune 500 clients. We just closed work in India for a long-time New York-based financial services firm who has previously only engaged with RGP in the US. This close also enabled us to expand our buying centers in this client. We now have strong delivery capability in Mumbai, Bangalore, Pune, and Hyderabad. I'll close with this reminder. While we always act with urgency, our pristine balance sheet allows us to take a long-term view of value creation. We are busy laying groundwork for growth and improving profitability when the client buying environment improves. We understand that the near-term outlook across professional services in the US is uncertain and disruptive. But we are resolute in nurturing our key relationships, standing at the ready, and focusing our services so clients know to call us with utmost confidence. Most importantly, we are committed to delivering long-term value for our shareholders driven by our team's unwavering strategic focus. I'll now turn the call over to Patrice for detail on operational trends and key.
Operator: Thank you, Kate, and good afternoon, everyone. I'm excited to share our quarterly update and highlight the progress.
Bhadresh Patel: We continue to make in executing our strategy. As Kate mentioned, our industry is evolving and recent geopolitical events and actions have only served to create greater uncertainty in the marketplace. As a result, our position as a challenger brand is becoming increasingly relevant in reaching professional services. Breaking away from traditional engagement and operating models and offering clients a differentiated experience. Our strategy is designed to empower clients by offering flexibility in how they engage with us throughout their transformation and operational journey. Removing the rigid structures traditional firms impose, we offer our clients the ability to access expert solution teams and core finance and HR outsourcing services in a way that best meets their needs. A more client-centric, flexible approach our competitors struggle to provide. Our revised approach of offering on-demand consulting and outsourced services under our single umbrella is setting the stage for our business to be more resilient and less cyclical. Our Q3 results show our top-line revenue performance tracking in line with expectations while delivering better than expected gross margin and bottom-line results. While overall pipeline softened, we are seeing a positive shift in our win ratio and pipeline of new opportunities moving us up the value chain with our clients and we know these opportunities take longer to move through the sales cycle especially given the current instability of the US market. We are gaining traction with solutions that remain central to our clients' transformation agenda. These areas of high client priority both within the CFO's office and CFO plus one aligned closely with our core capabilities, cross-sell strategy, and market demand. At the same time, we remain focused on maximizing our on-demand professional staffing services in the US where we benefit from long-term solid client relationships particularly in the office of the CFO. Once the market dynamics improve, we are well-positioned as we continue refining our operating model and optimizing our sales breakdown silos, and better align our solutions with revenue generation. This is leading to larger contract sizes with a stronger economic profile, driven by our strategic shift in the business. Now I'll provide an update on our quarterly performance by segment. Our consulting segment performance was slightly down from the prior year quarter but continues to validate our strategy as we are seeing steady bill rate improvements 13% higher than the same quarter last year, and a 4% improvement sequentially. It is worth noting that given recent shifts in the policy landscape, our federal government work represents only 1.5% of our overall revenue. Most importantly, we have nearly doubled the number of $1 million-plus opportunities won and doubled the number of opportunities greater than $1 million in our pipeline compared to the same quarter last year. We are actively pursuing multiple opportunities each exceeding $5 million in value driven by the expanded capabilities from our acquisition or reference point, and the increased digital scale gained through a cloud go, now fully integrated into our consulting segment. This growth was driven by our expansion into new buying centers within existing clients and higher-level conversations around client transformation initiatives. Some notable wins include the Australian Singapore government, a Fortune 250 integrated healthcare delivery system, a Fortune 200 life sciences company, a large medical device company, and a Fortune 500 bank. Notable large pipeline opportunities include a Fortune 50 financial services company, preferred supplier status for a Fortune 50 financial services client, and a large federal agency. I want to emphasize, this time last year, we were not engaged in opportunities of this magnitude in our client base. As our strategy continues to show results, we remain focused on building scale through our transformation recognizing it will take time to expand to drive growth. As I mentioned earlier and as is typical with solution selling, these opportunities take time to generate and materialize, especially given our current environment and ongoing uncertainty. Turning to on-demand. While revenue was down from the prior year, we are seeing early traction from our cross-selling initiatives benefiting from our long-term strong client relationships in the office of the CFO, and our CFO plus one strategy. While we continue to add net new logos, we are also intensely focused on keeping our current experts engaged with clients making extension management a key priority for our revenue and talent teams which did increase by 5.4% sequentially. RGP is poised as an attractive option for organizations needing on-demand, specialized support, without the need for long-term commitments or additional hires, especially as companies continue to tighten their belts in the current economic landscape and strive to do more with less. While revenue backlog in our Europe and Asia segment was higher sequentially, we did see a slowdown in growth compared to the previous quarter. Europe was impacted by a larger than usual consultant holiday, while APAC growth was hindered by ongoing macroeconomic challenges in our China business. However, we remain cautiously optimistic about accelerating growth as project extensions improved for the first time in three quarters. This trend should provide greater stability and a foundation for future growth. Particularly in the United Kingdom, Philippines, and Japan, where we are seeing stronger momentum compared to other regions. Our offshore services segment continues to achieve top-line revenue growth both prior year quarter and sequential quarter, driven by our efforts to acquire new venture-backed clients and expanding our focus on spinouts. In summary, since launching our Refresh brand positioning and service segmentation, client feedback has been overwhelmingly positive. They recognize our capabilities and appreciate the flexibility our various engagement models offer, reinforcing their desire to partner with us. We all understand the uncertainties in our current environment, we remain excited by the progress we are making in executing our strategy and remaining focused on delivering value to our client. I'll now hand the call over to Jenn Ryu.
Jenn Ryu: Thank you, Patrice, and good afternoon, everyone. Our third-quarter performance was in line or better than our expectations. Revenue of $129.4 million was in the middle of our outlook range, while both gross margin and run rate SG&A expense were better than the favorable end of our outlook range. We delivered adjusted EBITDA of $1.7 million or a 1.3% adjusted EBITDA margin reflecting the holiday seasonality during the third fiscal quarter. The year-over-year revenue gap continued to moderate in the third quarter to 11% on a same-day constant currency basis, which is an improvement over last quarter's 13%. We are encouraged to see continued stabilization in our Europe and Asia Pac segment and year-over-year growth in our outsourced services segment. Our on-demand and consulting segment which are both predominantly US-based, were impacted driven by a number of domestic government policy changes. Gross margin for the quarter was 35.1% again, better than expected and off by 190 basis points from the prior year quarter. Reflecting unique holiday timing, including Thanksgiving, which is typically in Q2, as well as the mid-week timing of Christmas and New Year's Day. We are pleased that pay bill ratio for the third quarter strengthened as a result of a notable improvement in the enterprise average bill rate. Despite the competitive pricing environment across the globe, we improved enterprise-wide average bill rate to $124 constant currency from $119 a year ago. Led by our consulting segment with a 13% increase over the prior year quarter as well as a 4% sequential increase over the second quarter. Average bill rate in the Europe and Asia Pac segments also increased by 5% over the prior year and sequentially on a constant currency basis. The improvements within these segments are the result of our efforts to drive value-based pricing and are reflective of a favorable mix shift we are starting to achieve in winning higher value and larger consulting projects. The addition of reference point project portfolio and joint projects involving reference point solution capabilities also boosted average bill rates. In our on-demand and outsourced services segment, average bill rates were both down slightly from the prior year quarter. Pricing in these segments remained competitive, which requires us to balance between rate and volumes to optimize revenue as well as margin. As we strive to drive higher bill rates in all business segments, and geographic regions, revenue mix will continue to be reflected in our total company average bill rate. Especially as we increasingly leverage our global delivery center for auction. Importantly, while the use of offshore teams will typically blend down our average bill rates, we expect it will enable us to enhance gross margin and to. Now on to SG&A. Our enterprise run rate SG&A expense for the quarter was $43.7 million an improvement from $45.2 million a year ago. Primarily driven by lower management compensation expense as a result of actions taken in December to reduce headcount as well as an elevated level of attrition in our sales force during the quarter. While we fight to improve top line in the SG&A, we are working diligently to pull the levers we can control to protect profitability in the near term, but ultimately to create a lighter cost structure for the future. We have been consistently implementing initiatives to reduce fixed costs in areas such as real estate and to increase operating efficiencies through our newly implemented technology platform. Next, I'll provide some additional color on segment performance. All year-over-year percentage comparisons for revenue are adjusted for business days and currency impact. And as a reminder, segment adjusted EBITDA excludes certain shared corporate costs. Revenue for our consulting segment was $52.6 million a decline of 2% from the prior year. Third-quarter segment adjusted EBITDA was $5.9 million or an 11% margin compared to $8.8 million or a 16% margin in the prior year quarter. Revenue for our on-demand segment was $47.1 million a decline of 24% versus prior year. Segment adjusted EBITDA was $2.6 million or a margin of 5% compared to $7.3 million or an 11% margin in the prior year quarter. Adjusted EBITDA margins in both segments reflect negative operating leverage on a softer top line. While our on-demand business has been more impacted by the macroeconomic condition, we are pleased with the role it has played in supporting the talent needs of our consulting segment. Our strategy is to continue driving opportunities for such blended delivery teams to mitigate utilization exposure. Turning to our Europe and Asia Pac segment, revenue was $18.6 million a decline of 2%. Segment adjusted EBITDA was $0.8 million or a 5% margin compared to $1.3 million a 7% margin in the prior year quarter. Finally, our outsourced services segment revenue was $9.4 million similar to the prior year quarter, but with an implied growth of 3% on an adjusted basis. Segment adjusted EBITDA was $1.5 million or a 16% margin, which is approximately the same as the prior year quarter. I also want to note we recorded a non-cash goodwill impairment charge of $42 million in the third quarter in response to the continued sluggish demand environment in both our on-demand and consulting segments. $12.4 million was recorded for our on-demand segment and $29 million for our consulting segment. Turning to liquidity. Our balance sheet remains strong with $73 million of cash and cash equivalents and zero outstanding debt. We distributed $4.6 million worth of dividends in this quarter and we purchased $3 million worth of shares at an average price of $8.46 per share. With our cash on hand combined with available borrowing capacity under our credit facility, we will continue to take a balanced approach to capital allocation between investing in the business to drive growth and returning cash to shareholders through dividends and opportunistic share repurchases under our share repurchase program with $79 million remaining at the end of the quarter. I'll now close with our fourth-quarter outlook. As mentioned earlier, recent government policies in the US have introduced additional uncertainty as our clients sort through the potential impact on their own business as tariffs and Doge actions unfold. While we are encouraged to see improving quality in the pipeline with larger deal opportunities, we experienced a lighter volume of activities starting in the second half of Q3. And expect delays in client decision-making to continue in the near term. As a result, early fourth-quarter weekly revenue run rate has shown some deceleration from the third quarter. Thus, our outlook calls for revenue of $132 million to $137 million. On the gross margin front, we anticipate maintaining the improved pay bill ratio we achieved through Q3. With the holiday season now behind us, we expect a stronger and a more normalized gross margin in the range of 36% to 37%. For SG&A expense, we expect our fourth-quarter run rate SG&A to be in a range of $45 million to $47 million reflecting a 14-week quarter as opposed to the typical 13 weeks. Non-run rate and non-cash expenses for the fourth quarter will be around $2 million to $3 million consisting mostly of non-cash stock compensation expense. In closing, during the current operating environment, we have continued to refine our strategy and improve our execution to drive long-term value creation. With improving economic clarity over time, we will be well-positioned for a return to growth. This concludes our prepared remarks, and we will now open the call for Q&A.
Operator: Thank you. Our first question comes from Joe Gomes with Noble Capital. You may proceed.
Joe Gomes: Good afternoon. Thank you for taking my question.
Kate Duchene: Hi, Joe.
Bhadresh Patel: Hello, Joe. So I wanted to start out know, we talk about you know, the the for the clients, these are high priority transformational activities you know, but obviously, we're seeing the ongoing delays and and push out of start date. I mean, how high priority are these? You know, how long, I guess, can the clients go or hold off without you know, starting some of these activities.
Kate Duchene: So I wish I had an answer for you across the board, Joe. I do believe it one of the reasons Europe has started to bounce back because the the pent up demand has started to open up. And so we're seeing some of those projects move forward, whether it's M&A activity or technology transformation, like moves to a global payroll system or a cloud migration on ERP, that's one of the reasons you're you're hitting it that Europe has started to improve. The US is a little bit different story. I mean, liberation today. We all hear what's happening with the tariffs. I think people are hesitant to make firm expensive decisions in an uncertain landscape. And that's what we saw happen in the second half of Q3 which guides us to be careful as we think about what happening in Q4. I mean, if you ask any professional services folks everybody thought M&A would really open up in the first half of calendar twenty-five, and in fact, the opposite has happened. You can look at a graph of what's happening in the S&P or the Russell and see how negative sentiment has become. And that does cause more conservative decision making. You know, as we look at our reports on upper opportunities opened in the pike, pipe by week, As we've shared, consulting is really growing. But the time to close is longer, and budget constraints are always noted. When we lose work, generally, it's been because of budget or delayed decision making. And that's the reality of the US marketplace right now.
Joe Gomes: Okay. Thank you for that. Given where the marketplace is, I mean, how is the retention of the consultants or what are you doing to to retain the consultants given the the the challenging times in getting work.
Kate Duchene: Yeah. So, you know, that's obviously one of the most important parts of our business is the care and feeding of great consultants. We are working very hard to get consultants in front of prior clients. We are working hard at the right price thing in our on-demand business. You you see the progress we made in our consulting bill rates, and financial metrics. So that we can make some of those investment decisions we need to to get consultants busy. And we stay close to them even if they roll off our active roster. We stay engaged through alumni activity. Consultants really feel, I think, that Karen's and feeding of our talent team, and that matters and will matter more as the environment turns more positive.
Joe Gomes: Okay. One more for me if I may. You you talked again about, you know, looking at at ways for efficiencies. You know, how much more is there, I guess, of available that could be cut before you're starting to really cut into muscle in in in the business.
Kate Duchene: Yeah. Hi, Joe. This is Jenn. I can answer that question. Yeah. We're looking across the board, within the company, different areas. To to continue to reduce our fixed cost. And but it's not just reducing fixed cost, It's also leveraging the technology that we just implemented in order to, you know, become more efficient. And we have seen some efficiencies from the technology, but I think that's gonna take a little bit of time. And, but, you know, different areas that we're looking at, Kate mentioned I did too in in in my in our remarks, you know, real estate is another area that we're we're gonna continue to to look at to optimize And then, you know, discretionary spending, I mean, we are getting, you know, tighter and tighter every quarter, so that so that we can control our costs. You know, I think I think for the near term, right, we're we are doing everything we can to to protect our profitability, but we're also, obviously, you know, need to manage the business for the long term as well. So as we think about investing in key areas of the business, there's gonna be a lot of puts and takes you know, so that so that we can retain all of the cost savings that we've already generated so far.
Joe Gomes: Thank you for that. I'll get back in queue.
Bhadresh Patel: Thank you.
Operator: Thank you. Our next question comes from Mark Marcon with Baird. You may proceed.
Mark Marcon: Hey, Good afternoon, and thanks for taking my questions. So obviously, it's a tough environment. And there is a lot of uncertainty. Can can you describe what you're actually what you've been seeing since the second half of the third quarter just in terms of are the clients characterizing you know, potential projects as things that they have to push back. How much have you seen in terms of cancellations And and it sounds like you're not seeing early terminations of existing projects, so wanna make sure I heard that correctly as well.
Kate Duchene: Yeah. We aren't, Mark. It and in fact, you extensions are growing, and it's one of the reasons that Europe is really strengthened too because not only are they adding projects, but they're expanding. And that's always been a little bit of a balance for them was on extensions, and we're seeing those extensions pull through, which is a good thing. So it's not so much project cancellation, although it happens occasionally because of budget approval. But we're just seeing more delay. I'll give you a real-world example. We were just chosen on a significant RFP to be a preferred provider. Now that doesn't guarantee us a level of revenue, but it sure guarantees us that we're one of the first to get the opportunity and to grow this account, which is a significant financial services account. We thought that RFP would be decided early in our Q3, and instead, we just learned the outcome in Q4. We've had a proposal at a major technology company one of the top five, that we thought would be decided in late October. And we still have not gotten a decision. So it's just delaying It's not cancellations. But, delay. And, yeah, you know, I think it is really tied to what's happening in government and what level the fallout be. Once we know what the fallout is, then people start making decisions.
Mark Marcon: Can you can you describe a little bit about, like, how how the magnitude of uncertainty that your clients are expressing how how pronounced or how much more pronounced is that become in recent weeks? I'm talking about the last two to three relative to you know, towards the back end of the third quarter.
Kate Duchene: I'd say the back end of the third quarter and the most recent weeks have been probably the most disrupted. The rest might wanna share other another point of view. But you know, now that we have the announcements from today, I think that will provide some clarity. It's going to create a more expensive business environment for all as I understand he announced that there's virtually a ten percent tariff on almost everything, and they go up to thirty percent. You know, we all read the articles about how many cars were purchased over the weekend, in anticipation of today. So, you know, people will make plans once they know you know, you know, that the dust has settled a bit. And we're all following. I saw a headline that said his Doge's time come to an end? You know, we need some of that to settle down and move forward because I do believe there's pent up opportunity We felt this way coming out of COVID too, that people delay things for so long that you can't delay any longer. But we're in this you know, period of of being squeezed. So as we said in our prepared remarks, we've done everything we can to and we will continue to do. The only thing we haven't done fully is our cost savings. And we continue to look at that hard, whether it's you know, looking at personnel offshore too, but we have positioned with respect to client offerings what the marketplace needs in recovery. And I think we've done some really good work internally.
Mark Marcon: Right. And then can you just talk a little bit about what's embedded with regards to the revenue guide for the fourth quarter just in terms of the split between on-demand versus consulting And and I wanna make sure I heard things right. Was was did you mention that the fourth quarter is a fourteen-week quarter?
Kate Duchene: Yeah. And and it's if so, you know, what is the implication with regards to on a same-day basis what the revenue decline would end up being? For the fourth quarter.
Jenn Ryu: Yeah. Hey, Mark. So the guide for writing into the fourth quarter, you know, what we're expecting Europe and Asia Pac as well as outsourced services segment to stay relatively stable. And I don't think that they're gonna create, you know, much variability there. The the the variability is really gonna come from North America within the on-demand as well as consulting segment. And the consulting segment's really you know, I as you heard, we're working on larger deals. And so, you know, how fast and how how fast you can close those deals as well as how know, how fast we can push the project to start is going to kind of you know, determine, right, whether where on the range we, you know, we fall. Q4 has sixty-nine days So there's four more business days compared to compared to last year. And so on a year-over-year basis, you're looking at a decline of comparing Q4 to Q4. You'll need a decline of about fourteen percent.
Mark Marcon: Right. That's helpful. And and then lastly, just when we take a look at the the cash flow from operations for the first nine months, Can you can you just describe, like, what were some of the unusual cash outflows so that we can normalize that a little bit and while your balance sheet is quite strong and pristine, you know, I'm wondering are are there any thoughts with regards to the sustainability of the dividend Dividend yield is obviously quite high. So am getting questions with regards to whether or not that might potentially change.
Jenn Ryu: Yeah. Mark, so as you know, we've been going through our tech technology transformation. So the last few years couple of years, you know, our cash flow really has been, you know, the impacted by the amount that we're spending on the implementation. Starting in fiscal now that we're you know, the the transformation is behind us, starting in fiscal twenty-six, we should we should see a pickup about, you know, anywhere between five to seven million dollars in operating cash flow. You know, the point about dividend well, dividend is that by the board each quarter. It is our intention to drive down the payout ratio. With a higher stock price over time as we begin to benefit from the strategic plan and, you know, especially as the market condition improves. You know, we we we know our investors have come to appreciate consistent dividend. You know, as I mentioned in the prepared remarks, we are taking a measured and balanced approach towards capital allocation. We wanna consider what's best for the business long term. So that includes investing in organic growth you know, or dividend and share repurchases.
Mark Marcon: Right. And then just going back to the cash flow and maybe margins from a sustainable basis, obviously, it's an unusual time period. Things have changed, and, I mean, things have been rough for for you know, multiple years. When you think about, like, if we ended up having some stability in revenue potentially a little bit of growth, Where would you target EBITDA margins and operating margins? And and what sort of free cash flow conversion would you hope to be able to achieve?
Jenn Ryu: Yeah. I think, you know, as as a broader I you know, you know, we're full year with the full year guidance now, we're gonna be in the, you know, in the high mid to high five hundred million. As the broader environment normalizes, you know, and we get back into the six hundred million, you know, even get into seven hundred, know, I do think that given our lower cost structure now, we should be able to get back into kinda where we used to, which is high single digit. Now if we go above seven hundred million, and we can get into the double digit, Now I do expect that our cost structure you know, over time, especially as I mentioned with the tech investment, know, we we we should be able to, you know, realize more efficiency in how we operate. And well, I'm sorry. What was your other question? The cash flow? Oh, yeah. Cash flow cash flow conversion. So our our historical trend has been around seventy-five to, you know, to eighty-five percent of free cash flow conversion from EBITDA. So, you know, as we as we recover and improve, I expect that that, you know, obviously, if I working capital, that may be a little bit lower, but I'm I'm not concerned that we're gonna be able to get back to I think normalized, get back to that level of free cash flow conversion.
Mark Marcon: Great. Thank you. Mhmm.
Bhadresh Patel: Thank you.
Operator: Our next question comes from Andrew Steinerman with JPMorgan. You may proceed.
Andrew Steinerman: Hi, Jenn. I I heard your answer before about the fourteen percent decline in the fourth quarter. Revenue guide, and I think that was up a dollar basis adjusted for for days. I wasn't sure if that was at the midpoint or not. My my question is a little bit different. I'd like to know in the midpoint, of the fourth quarter revenue guide, what's the organic constant currency revenue growth on the same day basis I I asked because I know the the reference point acquisition hasn't anniversaried yet.
Jenn Ryu: Yeah. At the midpoint, it's excluding reference point, Q4 would be down seventeen percent year over year.
Andrew Steinerman: And that that's constant currency?
Jenn Ryu: Correct. I mean, look, currency is gonna you know, it's moving around a lot. Andrew, and especially, right, given all the tariffs, and it's really hard to kind of predict currency. So, yeah, I mean, I expect that GeForce currency movement is probably gonna be neutral. So that's this is you know, on a on an organic same-day basis.
Andrew Steinerman: Okay. Great. And let me just ask one more question. I haven't heard much about Hugo in in a while. I wanted to get a short update there. Like, is there any revenue traction that's moving the total revenue needle for the company or anything that looks about kind of the volume of work that's going on assignment through Hugo.
Bhadresh Patel: Yeah. So we've seen a pickup of Hugo revenue this year. We've really folded that offering into our on-demand segment, so we won't be reporting it separately. I'll tell you the experience we've learned, Andrew, is that it's been adopted on the talent side, and it's really helped us learn some new behaviors on how to operate faster on the on-demand talent side. We have not seen clients yet adopt a self-serve environment. So I don't know if that's I think, part of it's because they're so used to our white gloves service at RGP, but we have not seen that cost out of adopt yet. So in turn, we've taken some the Hugo business so that we can make money. And we are driving new opportunities in our client base. So this is an offering we're really pushing in our existing client base. For the kind of roles that are, as we've said before, accretive to us, a level or two down, and and we are driving growth there.
Andrew Steinerman: Got it. That makes a lot of sense. Thank you.
Kate Duchene: You're welcome.
Operator: Thank you. I would now like to turn the call back over to Kate Duchene for any closing remarks.
Kate Duchene: Well, I thank you all for listening in. And supporting Resources Connection, Inc. We look forward to updating you on our progress after Q4. Thanks very much, everyone.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.